Operator: Good morning. My name is Jennifer, and I will be your conference operator today. At this time, I would like to welcome everyone to Kennametal's First Quarter Fiscal Year 2014 Earnings Call. [Operator Instructions] I would now like to turn the call over to Quynh McGuire, Director of Investor Relations. Please go ahead.
Quynh McGuire: Thank you, Jennifer. Welcome, everyone. Thank you for joining us to review Kennametal's first quarter fiscal year 2014 results. We issued our quarterly earnings press release earlier today. You may access this announcement via our website at www.kennametal.com. Consistent with our practice in prior quarterly conference calls, we've invited various members of the media to listen to this call. Also, it is being broadcast live on our website, and a recording will be available on our site for replay through November 25, 2013. I'm Quynh McGuire, Director of Investor Relations for Kennametal. Joining me for our call today are: Chairman, President and Chief Executive Officer, Carlos Cardoso; Vice President and Chief Financial Officer, Frank Simpkins; and Vice President, Finance, and Corporate Controller, Martha Bailey Fusco. Carlos and Frank will provide further explanation on the quarter's financial performance. After the remarks, we'll be happy to answer your questions. At this time, I'd like to direct your attention to our forward-looking disclosure statement. The discussion we'll have today contains comments that may constitute forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve a number of assumptions, risks and uncertainties that could cause the company's actual results, performance or achievements to differ materially from those expressed in or implied by such forward-looking statements. Additional information regarding these risk factors and uncertainties is detailed in Kennametal's filings with the Securities and Exchange Commission. In addition, Kennametal has provided the SEC with a Form 8-K, a copy of which is currently available on our website. This enables us to discuss non-GAAP financial measures during this call in accordance with SEC Regulation G. This 8-K presents GAAP financial measures that we believe are most directly comparable to those non-GAAP financial measures, and it provides a reconciliation of those measures as well. I'll now turn the call over to Carlos.
Carlos M. Cardoso: Thank you, Quynh. Good morning, everyone. Thank you for joining us today. For the September quarter, Kennametal, again, achieved double-digit profitability as a result of our company-specific initiatives and ongoing cost discipline. We delivered an operating margin of 10.6% on an adjusted basis, despite persistent macro uncertainties. Global industry production trends during the September quarter began to show pockets of growth and increased activities in certain areas, particularly in early cycle markets. For Kennametal, those trends led to higher demand in our Industrial segment. In addition, orders activity in the distribution channels continue to reflect higher volumes. Our WIDIA brand products realized organic growth of 4% year-over-year, representing increases in every geographic region. In addition, we completed the acquisition of the Bolivia-based tungsten processing operations called Emura. The addition of Emura also enhances Kennametal strategic tungsten-sourcing capabilities to serve our global growth. As always, profitable growth remains a top priority for Kennametal and acquisitions have historically been a key part of our strategy. During the September quarter, we signed a definitive agreement to acquire the Tungsten Materials Business from Allegheny Technologies or ATI, a leading producer of tungsten powders and tooling technologies and components. This acquisition offers excellent growth opportunities for Kennametal. It aligns with our long-term growth strategies, extends our presence in aerospace and energy end markets, and further augments our tooling portfolio. It also accelerates our strategy to expand capacity and develop an advanced tungsten carbide recycling facility in U.S. to serve global markets. The transaction represents a winning business combination that enhances our talent base, provides complementary strategic assets, and further balances our portfolio. We expect the ATI deal to close within the next 30 days. Innovation also continues to be central to Kennametal's growth strategy. In fact, for 75 years, innovation by our global team has been a key competitive advantage. Our dedication to innovation resulted in a significant recognition during the September quarter when Kennametal was named to the 2013 InformationWeek 500 list of the top information technology innovators in the U.S. for the second consecutive year. And now, I would like to provide an overview of trends that we are seeing in our served end markets. In the aerospace industry, production remains on track as nearly all existing programs are producing at higher rates. Although there's been some issues with the Boeing Dreamliner 787, manufacturing schedules have been increased to deliver 60 Dreamliner planes by the end of calendar year 2013. General engineering, which primarily made up of distribution channel customers but also includes smaller industrial job shops has benefited from continued growth in manufacturing from OEMs, particularly in the transportation and aerospace sectors. In addition, production and demand for the machinery market is expected to improve in calendar year 2014 and '15. As the general economy accelerates, capital spending in the industrial sector is expected to increase. In transportation, NAFTA light vehicle production remains strong. For 2013, it is projected to grow 7% from prior year to reach 16 million units and expected to increase further in calendar year 2014. In Europe, the light vehicle production forecast has been repriced slightly upwards for 2013. Although concerns remain, monthly European build has outpaced continuous expectations for the past 8 months. In Greater China, light vehicle production remains at 20 million units for calendar year 2013 and expected to grow approximately 10% from prior year. Regarding the energy market, natural gas prices have been steady, near $3.50 per MBtu. And oil pricing has remained at around $100 per barrel. The rig count was relatively flat as drilling efficiencies continue to improve. Some dormant wells have been reopened for production but generally do not require high volume of drilling activity. From a supply perspective, natural gas inventory remained relatively unchanged in the quarter. While there have been recent increases in horizontal drilling, industry projections show that meaningful growth is expected to begin in calendar year 2014. In the mining industry, coal production is expected to be flat for the next 18 months as the increase in consumption is offset by the cuts to current inventories. In the U.S., Appalachian coal operations have more expensive geology and continue to be under pressure with competition from Western coalfields like the Illinois and Wyoming coal basins. This provides Kennametal with opportunities to support those mining operations by providing a wide range of options that include surface mining and wear solutions, as well as earth-cutting products. For the road construction sector, the continued need for maintenance and rehabilitation projects, along with moderate weather, has resulted in continued growth. Even with the U.S. government shutdown, approved funding is expected to continue until October of 2014. From a geographic perspective, the global economy is improving despite some mixed data according to IHS Global Insight. While there are risks such as geopolitical pressures and oil prices, budget issues in U.S., the economic instability in the Eurozone, and further weaknesses in the emerging markets, the fundamental still reflect a gradual acceleration world economy and the near-term outlook for global growth is essentially unchanged. In the U.S., there have been various concerns, but the economy has weathered fiscal budget issues and tax increases, as well as the federal spending sequester. Business conditions continue to be tentative, but confidence seems to be improving and the foundation of a recovery remains strong. The Eurozone's economy is improving after an extended recession that lasted 6 quarters. Although the recovery is not expected to be strong or broad-based, it should continue through 2014. China's economy is expected to improve as July and August data on industrial production exports business sentiment and car sales showed a gradual pick up in activity. Recent gains are due to the modest stimulus as a result of a positive support from the central government. In other large emerging markets, there are still challenges for India's growth outlook, although Brazil's projected growth rate was recently upgraded slightly. As the economic climate improves, Kennametal will continually look for opportunities to accelerate our growth strategies. For example, a few weeks ago at EMO in Hanover, Germany, we launched a cloud-based software solution for smart production called NOVO. No matter how complex the part or assembly, NOVO goes beyond conventional tooling selectors to determine the best process to make each part online. This innovation integrates 75 years of Kennametal expertise in material science, tooling and application engineering to help customers optimize their manufacturing process. The EMO event was very well attended with 145,000 visitors from over 100 different nations. Overall, the balance of incoming data is more positive, and the pace of the recovery is expected to pick up in calendar year 2014. In September, the global PMI reflected a 27-month high and was the third consecutive month of acceleration in manufacturing activity, with growth primarily concentrated on the developed world. As we look ahead, we expect improved customer demand in the second half of fiscal year 2014. Both industrial production and purchasing managers' index are trending upwards, primarily driven by strong growth in motor vehicles. While challenging conditions are expected in the near term, we remain focused on maximizing shareholder value as always. We'll continue to execute our strategies and manage our portfolio for growth. I'll now turn the call over to Frank who'll discuss our financial results for the quarter in greater detail. Frank?
Frank P. Simpkins: Thank you, Carlos. Consistent with the prior discussions, I'll start by making some comments, and then I'll review the first quarter and additional detail. And as always, some of my comments are related to non-GAAP metrics. As Carlos pointed out, despite a challenging macroeconomic environment, we delivered solid profitability during the September quarter with earnings per share of $0.48 per share, which included our nonrecurring charges of $0.05 and operating margin of 9.5%. The nonrecurring charges included a physical inventory adjustment of approximately $6 million and ATI acquisition cost of approximately $1 million and has unfavorably impacted our margin performance by about 110 basis points. In the September quarter, we experienced improved sales trends in our earlier cycle industrial business, which continues to gain momentum. However, the infrastructure business, which is generally mid-to late cycle, continued to lag as the underground mining sector remains weak globally and the energy market is still seeing some demand softness in the near term. However, I think it's important to highlight that the month of September is the first time in 15 months where Kennametal realized year-over-year sales growth. Also for each month during the quarter, the daily order rate increased sequentially, and in addition, our WIDIA products realized a positive year-over-year growth in all geographies. We also generated $20 million of free operating cash flow during the quarter compared with a $12 million outflow in the prior year. The September quarter is typically our seasonal low in terms of free operating cash flow generation. However, the current quarter generated the highest September quarter free operating cash flow in the past 10 years, due in part to our improved efficiencies and cash management strategies. As Carlos briefly mentioned, we also entered into an agreement for $605 million to acquire ATI's Tungsten Materials Business, which aligns our long-term growth strategies. This is expected to accelerate our plans for an advanced tungsten carbide facility in addition. And we expect them to close the transaction in the next 30 days. Also regarding our priority uses of cash, we remain consistent with our principles. We reinvested a combined $43 million in our business with $25 million of capital expenditures and $18 million in acquisitions, primarily related to the Emura transaction to acquire tungsten processing operations in Bolivia which furthers our strategy to balance our metallurgical sourcing. We also reduced our debt by $42 million from June 30. We have a $14 million payout on our dividends. And with anticipation of the ATI transaction, we tempered our share repurchases during the quarter to $4 million which were approximately 100,000 shares. We will continue to balance going forward with respect to our investment and shareholder return policies. Now I'm going to walk through the key items in the income statement. Sales for the quarter came in at $620 million, and this compares to $629 million in the same quarter last year. Our sales decreased by 2%, and reflected 3% organic decline, partly offset by a 1% favorable impact for more business days. And as I noted earlier, the September month was the first time in 15 months that reflected positive year-over-year growth. We are seeing improved demand from customers in our industrial end markets, and distribution sales for the month reflected double-digit growth from prior year. These factors are encouraging. Looking at the individual business segments, our Industrial segment sales of $338 million increased by 1% from the prior-year quarter due to a favorable impact of more business days and on an organic basis, it was flat. Sales were up 2% in general engineering, 2% in transportation and 1% in energy, offset by a 2% decline in aerospace and defense. General engineering increased due to improvements in demand from distribution channels. The transportation market benefited from increased demand in light vehicle markets in Europe, U.S. and China. And our energy sales reflected increased activity in industrial applications. The decline in aerospace and defense is due to the timing of orders on a year-over-year basis. On a geographic basis, our sales increased year-over-year by approximately 6% in Europe, remained flat in the Americas, and decreased by 5% in Asia, primarily driven by softness in India. As previously mentioned, WIDIA sales grew 4% organically, which reflected year-over-year increases in all geographic regions. Our Infrastructure segment sales came in at $282 million in the quarter, and they declined by 4% from the prior year, and that was driven by a 6% organic sales decline, partly offset by a 2% favorable impact for more business days. Sales declined by 8% in earthworks, 4% in energy, 1% in transportation, partly offset by an 11% increase in general engineering. Earthworks sales declined from persistently weak underground coal mining markets in China and the U.S. And this was partly offset by highway construction sales growth of 6% due to increased demand in all 3 regions. Further, energy sales decreased due to lower drilling activity in oil and gas in the U.S., partly offset by gains in production and completion applications. General engineering and transportation reflected higher volumes from integrators, as well as distributors. And geographically, sales grew 3% in Europe, offset by decreased sales of 7% in Asia and were 7% lower in the Americas. Now, turning to our operating performance. Our gross profit margin was 32% and this compares to 33.1% last year. Gross margin benefited from lower raw material cost, but was offset by lower organic sales and unfavorable mix and a nonrecurring physical inventory charge of $5.7 million related to our mining business. This inventory charge unfavorably impacted our gross profit margin by about 90 basis points. Our operating expenses declined $5 million year-over-year due to containment of discretionary spending, partly offset by the ATI acquisition charges, which were about $1 million. Our operating expenses as a percent of sales was 21.7% in the quarter, which is 40 basis points lower than the prior year. And this represents continued cost discipline globally from our team. Our operating income was $59 million compared to $64 million in the same quarter last year. The decrease in operating income was primarily due to the factors already mentioned. Our margin was 9.5% for the September quarter, and nonrecurring charges unfavorably impacted our operating margin by 110 basis points. Looking at the operating performance by business segment. Industrial segment's operating income was $40 million compared to $39 million in the same quarter of the prior year. And the Industrial operating margin was 11.8% compared with 11.7% in the prior year. The Infrastructure segment's operating income was $22 million, and this compares with $28 million last year. Our operating income decreased year-over-year due to reduced organic sales and a nonrecurring physical inventory adjustment of $5.7 million related to our mining business. Our infrastructure's operating margin was 7.7% for the quarter compared with 9.4% last year, and the nonrecurring physical inventory adjustment unfavorably impacted the margin by 200 basis points. Interest expense was up $1 million year-over-year in the September quarter to $7 million. The increase was due to higher borrowing rate for the 2.65 notes as compared to our bank revolver, partly offset by lower year-over-year borrowings. And we have full availability on the $600 million revolver as of September 30, 2013. Our effective tax rate came in at 24.6% for the quarter compared to 20.7% last year. The increase was primarily driven by a favorable effect tax audit settlement in Europe in the prior year, while the current year rate reflects a lower relative U.S. earnings contribution and a valuation allowance adjustment related to a state law change. And regarding earnings per share, we reported diluted earnings per share of $0.48 compared to $0.57 in the prior year and the current year included nonrecurring charges of $0.05. Cash flow from operating activities for the September quarter was $44 million compared to just $3 million in the prior year. Cash flow benefited from a year-over-year decrease in working capital. Our capital expenditures on a net basis were $25 million compared to $50 million in the prior year. And as I said earlier, our free operating cash flow was $20 million in the quarter compared with a $12 million free operating cash outflow in the prior year. So a $32 million swing year-over-year. We also purchased 100,000 shares of our outstanding shares, and as previously mentioned, we were not active in the market during the quarter due to the anticipated ATI transaction. But to date, under the amended repurchase program, we have purchased 6.7 million shares and approximately 10.3 million shares remain available for purchase under the program. We now expect to repurchase approximately 1.5 million shares in fiscal 2014. We remain confident in our ability to continue generating strong cash flow and we'll stay consistent with our capital structure principles. As always, we remain active on the acquisition front to identify and develop potential candidates. We continue to be highly disciplined in our capital allocation process to ensure that we invest in initiatives with the highest returns. Our balance sheet remains strong. At September 30, we have $3 million in short-term debt and full availability of our revolver of $600 million. Total debt stood at $706 million and our cash balance was $333 million with approximately 2/3 of the cash presently residing overseas. So on a net debt basis, our net debt was $373 million at quarter end, consistent with the $370 million at June 30. Our debt-to-cap ratio was 24 -- 27.4 compared to 29.2 at June 30 and our adjusted return on invested capital is 8.9%. We continue to actively manage our pension plans and enjoy the benefits of our adoption of a liability-driven investment strategy over 7 years ago, and our U.S.-defined benefit plans remain over 100% funded. Turning to our outlook. We have slightly refined our full year outlook due to a slower-than-anticipated recovery in our served end markets globally in underground mining, as well as oil and gas markets. However, it's worth noting that order rates have reflected increased activity primarily in the industrial end markets and distribution channels. Based on the current quarter and our fiscal 2014 forecast, we now expect the Industrial segment to perform slightly better than originally estimated, while the Infrastructure segment is anticipated to lag more than prior projections. So now, our current guidance for total sales growth reflects a shift from organic growth due to the anticipated currency impacts. As such, we expect fiscal 2014 sales growth in the range of 5% to 7% with organic sales growth ranging from 4% to 6%. Previously, we had forecasted sales growth ranging from 4% to 6% with organic sales growth of 5% to 7%. Based on a revised segment performance and the nonrecurring inventory charge for the first quarter, we narrowed our EPS guidance for fiscal 2014 to range from $2.90 to $3.05 versus the previous expectation of $2.90 to $3.10. We still expect to generate cash flow from operations between $330 million and $380 million for all of fiscal '14 based on anticipated capital expenditures of approximately $130 million to $150 million. And now we expect to generate between $200 million and $230 million of free operating cash flow for the full year. And our earnings are still expected to be somewhat consistent with our historical patterns with approximately 35% to 40% of earnings in the first half, and 60% to 65% in the second half of the fiscal year. And please note that our outlook does not reflect any impact related to the planned acquisition of ATI's Tungsten Material Business. We will continue to manage our business for the factors we can control in the near term. We remain committed to protecting our profitability, as well as maximizing our cash flow and returns. And in addition, we will remain focused on many growth opportunities and consistent execution of our strategies. Now I'll turn it back to Carlos for a closing comment.
Carlos M. Cardoso: Thank you, Frank. As we move forward, we'll maintain our focus on profitability, earnings and cash flows. We remain committed to our aspirations of doubling revenues over the next 5 years. Along the way, Kennametal's global team will continue to execute company-specific strategies to achieve our goals and further strengthen our business. As always, we'll continue to seek diversity in every aspect of our business by expanding our global presence to generate revenues equally from North America, Western Europe and Rest of the World markets. At the same time, we'll continue to work towards a more balanced mix of served end markets and business segments. Kennametal's diversification strategies will provide additional growth opportunities and lessen volatility throughout the economic cycle. In summary, our global team will continue to execute our strategies and follow the principles of our Kennametal value businesses system, a proven management operating system. We'll continue to strengthen our financial position and remain disciplined in our capital allocation process. We will invest in capital expenditures to better meet customers' demands, make acquisitions in adjacent markets, as well as bolt-on business, continue share buybacks and pay dividends. Thank you for your continued support. We will now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Ross Gilardi with Bank of America Merrill Lynch.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: I just had a question about Europe. Europe's run positive in both the Industrial and the Infrastructure segments. Can you just talk about what it feels like, in a business, it feel like it's sustainable going forward.
Carlos M. Cardoso: Yes. I mean, I think it is. It's driven, once again, by a strong economy, which is Germany, as we always mention. Germany is our largest market in European arena and it is driven primarily from their exports in the automotive-related businesses. So we continue to see that's trending, although at a very slow pace. And EMO is a really good indication. EMO is the largest tool show in the world, and was very well attended with 140,000 people. And the feeling was very positive. And that took place just about a month ago. So we feel that we'll continue to see growth in Europe.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Great. And then could you just talk a little bit more about the pricing environments and what you're seeing competitively? And if Industrial production continues to recover, do you think you can leverage that on the pricing side?
Frank P. Simpkins: Yes. I think, if I Ross -- if I break it between the 2, I think the key industrial side is pretty much in line with the plan, nothing noteworthy there. The competition, everybody saw sitting on the sidelines right now as far as moving. And consistent with our past practice, we'll evaluate looking at something in January, particularly on the industrial side. On the infrastructure side, I would say it's pretty much holding, but probably a little bit more pressure for us on the mining side as you would anticipate it. So net-net, maybe slightly down. Nothing significant with the industrial being kind of flattish and a little bit pressure on the mining side.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: And then just lastly, I want to ask you about your inventories. Your inventory to 12-month trailing sales looks a little high relative to history. Is there anything going on in the business specifically tied to the Bolivian acquisition, anything like that? Are you kind of happy with your production relative to the current environment? Are you building inventory in anticipation of some restocking, any color you could give on that?
Frank P. Simpkins: Yes, there is some -- from the Bolivia, approximately $20 million of inventory came in with the acquisition of Emura in the month of August. And then as we talked about in the fourth quarter, and this is one of the points why we chose not to try to take down inventory, anticipate with some of the trends we saw, and really focusing particularly on the industrial side on fill rate, to get the fill rates on the high movers higher. We wanted to make sure that we have the right inventory in line because we know that demand is picking up. We're seeing it in distribution. It's not to the effect of restocking. It's kind of current demand. But we need to make sure that we have the products on the shelf for the customers.
Carlos M. Cardoso: And I'll remind everyone that the profile is that about 35% to 40% of sales in the first half, and the balance is -- the second half is a higher level. So we really need to be prepared for that.
Operator: And your next question comes from the line of Julian Mitchell with Crédit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: Just firstly on the sales guidance. I just wondered if it embeds a big sort of restocking at some point in the year or if it's based solely on slightly improving end-market demand?
Carlos M. Cardoso: Yes. At this point, it's slight improving on the end-market demand. I mean, we, again, when we look at where we are today, we see the increase in the rates, the daily rates. And with the -- having the same profile of 35% to 40% in the first half versus the second half, it's consistent with the natural seasonality of the business. So at this point, we're not anticipating a huge restocking. Obviously, at this rate of 5% to 7% growth, it's hard for us to know how much of that is restocking versus just increasing in activity.
Julian Mitchell - Crédit Suisse AG, Research Division: Got it. Thanks. And then the guidance that you say, it's implying, I guess, about underlying $0.10 increase sequentially in EPS in Q2 from Q1. Are you expecting the revenues in both Industrial and Infrastructure to be up sequentially in the December quarter or just Industrial?
Frank P. Simpkins: We typically focus on the full year guidance. That's why we tweaked that in. Overall, from a top line growth based upon the trends, I think, so far, October's pretty much in line with our forecast. So definitely, the Industrial side is going to be, I believe, up sequentially, as well as maybe slightly on the Infrastructure side. So things are moving in the right side. And on the underground coal mining, well, it's a little bit of a drag. That eventually in the emerging markets may come a little bit quicker. But we're still looking at the surface mining applications that Carlos alluded to. We're finding some niche, so it's not necessarily underground, maybe more hard rock. And then the energy is, we're seeing a little bit more quoting activity, so the energy could be a pleasant surprise as we go forward.
Julian Mitchell - Crédit Suisse AG, Research Division: Thanks. And then just a final quick one. You talked on the last call about $10 million of sort of OpEx or SG&A investments on productivity and restructuring. The SG&A is actually down year-on-year in Q1. Is that $10 million number still likely or that's been trimmed back a bit?
Frank P. Simpkins: No, that's the pay-as-you-go on a number we talked about. We have some restructuring cost in there, and I would say that, that will kick in and probably more force here in the second quarter.
Operator: And your next question comes from the line of Adam Uhlman with Cleveland Research.
Adam William Uhlman - Cleveland Research Company: Just a follow up on the guidance question. More broadly, when you think about the sales trends for the year between the 2 different segments and the revision to the growth outlook, is the Infrastructure business expected to grow this year or just remain somewhat flat? Just a little bit more color, that would be helpful.
Frank P. Simpkins: Yes, we expect both business to grow on a year-over-year basis with a little bit stronger growth, Adam, coming out of the Industrial, as you would expect. We're offsetting, you know, particularly, when you look at the segment and try to look at Earthworks, when you typically look at it, it's only down slightly because part of the underground coal mining was offset by highway construction pretty much in all geographies. Plus, we're seeing some additional activity in foundation work, trench work, so we're trying to find some additional opportunities to offset some of the softness in the Infrastructure side. So the Infrastructure is not going to grow overall as fast as Industrial, and that's why we kind of a made a little bit of a tweak. So we think a little bit on the plus side on the Industrial, and a little softer in the Infrastructure.
Adam William Uhlman - Cleveland Research Company: Okay. And then, I thought it was interesting the comments about the sales to distribution were up double digits on the Industrial side. I guess, I'm just wondering what the prior trend was. I guess, you indicated that there's not too much destocking, but any color, commentary on the order rates would be helpful.
Carlos M. Cardoso: Yes, the double-digit in the distributor was for the month, not for the quarter, so although the quarter was positive. And I mean, we said that we basically saw the destocking in the December quarter timeframe. So we feel this is consistent with our expectations and it makes us feel good from the point of view that it's typically a leading indicator. The distributors start ramping up their purchases as they gain confidence and as the OEM start buying stock. So it is consistent with our forecast.
Operator: Your next question comes from the line of Eli Lustgarten with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: One clarification. The $2.90 to $3.05 slight trim in guidance, does that include $0.48 in the first quarter? In other words [indiscernible] we'll take the $0.05 out that you or?
Frank P. Simpkins: No, we let that fall. That's why we took it off to the back end.
Eli S. Lustgarten - Longbow Research LLC: I mean, so the $2.90 to $3.05 is based on $0.48 in the first quarter?
Frank P. Simpkins: Yes. $0.49. Really.
Eli S. Lustgarten - Longbow Research LLC: $0.49 rounding it. But basically -- so it basically changes the $0.05 write-off that you took effectively?
Frank P. Simpkins: Yes, I mean the simple way of looking at it, the Industrial is doing a little bit better on the top line. The Infrastructure is a little bit less. We got a little bit of a currency benefit. So they're kind of washing each other out. And then the nonrecurring inventory charge, it's one of those things, it is what it is. We book it, and we're going to move on. But if you take those factors, if you take the inventory change out we're saying at the guidance, we tweaked it down a little bit. And if we get a better mix from a profitability standpoint, we should be able to make up the second half where we have a little bit weakness on the Infrastructure side.
Eli S. Lustgarten - Longbow Research LLC: And we're finished with the inventory adjustments at this point?
Frank P. Simpkins: Yes. Yes, that was a one timer.
Eli S. Lustgarten - Longbow Research LLC: And can you give us some insight, you talked, we got a pretty good feel for the mix of the top line. Can you give us some insight on what you're expecting on the bottom line in profitability, corporate wide and particularly by segment. I mean, Infrastructure numbers are somewhat disappointing. I'm not sure they can change very much as long as mining stays under the pressure it's under.
Frank P. Simpkins: Yes, clearly, we typically don't give out the numbers as you know you, Eli, but there's going to be a better incremental margin. As volume returns to Industrial, they're going to lever very nice because of the way we restructured the business and kind of the standard products. Infrastructure, I would expect the second half to be a little bit better. And we're assuming, in that case, energy starts to increase a little bit. Now, if we do get an improved energy scenario in the second half, which we're trying to put it down the middle of the road, well then that's rough, and Infrastructure will do much better than we have forecasted, but it depends on what's going to happen particularly on the energy side. And I think we got the Earthworks side nailed pretty well from both a mining, above and underground, as well as some of the highway construction activities. So the upside for us could be potentially around the energy.
Carlos M. Cardoso: It's all volume, Eli. I mean, as the plan says, we're going to have a higher volume in the second half. Therefore, as usual, we lever pretty well.
Eli S. Lustgarten - Longbow Research LLC: And all the numbers you're talking about, this has nothing with ATI in it?
Frank P. Simpkins: Yes, that's correct, Eli. And that was the point I made when we did it. And we'll most likely, if this thing, we assume that's going to close. In the near-term here, we'll provide kind of an update at our Analyst Day.
Operator: Your next question comes from the line of Steve Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies LLC, Research Division: Just -- I think, most of them has been asked. But I guess, I'm just curious. As you think about your balance sheet and your cash flow post ATI, and I know, Frank, you said you guys have lightened up on the share repurchase pending this acquisition. Should we look at you guys to sort of integrate, pay down a little bit of debt before we do anything else with cash flow, be it share repurchase or even additional acquisitions? Or how do you just think about that?
Frank P. Simpkins: Yes, Steve, I think it's a good question. I think we're going to generate some nice cash flow. And ATI actually is pretty efficient from the cash flow generation standpoint. So we're going to have some additional cash there. So we will continue to balance priorities. We're going to put the CapEx in the business we make. Accelerate some of that, that's why we're pulling back on some of the repurchases that we want to really try to get at the synergies sooner rather than later, particularly on the metallurgical side. And then the wild card is, we always have a couple acquisitions. I wouldn't say anything to this magnitude near term, but there's always the $50 million to $150 million type of revenue companies that are top time. So we'll walk the dance, and if we think it's a little bit closer, but I would say, all intentions are really to focus on this acquisition, make it a home run, really integrate it quick, and then get back into the regular process.
Operator: Your next question comes from the line of Walt Liptak with Global Hunter.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: I want to ask you, to go back to the inventory charge, that was for Emura inventory, right, the $0.05?
Frank P. Simpkins: No, that was from a different piece of our business on the inventory related to the surface mining.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay. Was there a charge related to Emura? Was there any purchase accounting or anything that ran through?
Frank P. Simpkins: No. That was a relatively small one. And as I said, we said, it was accretive immediately. So that was one of our suppliers in the past that we bought so. That would get lost in a rounding in a month or 2 since we basically acquired it August 1.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay. And I think you said that ATI, you're expecting a close date in a month, is that right?
Frank P. Simpkins: Yes, we said within 30 days on the call. Hopefully, we'll get the HSR filing relatively soon here. And the German cartel given some of the European presence, but we don’t anticipate any issues.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay. And can you walk us through just the financial mechanics, the amount of cash you'd use, the bank credit that you'd use on getting the deal done and any charges that you're anticipating related to purchase accounting or other write-offs?
Frank P. Simpkins: Yes. As far as -- the purchase price, as you know, is $605 million. We'll probably use about $150 million of cash. And we'll use the remaining $450-ish million, give or take, on the revolver going forward. And then what we said on the call back in September, we think it would be neutral, depending when it closes. Obviously, the shorter the time frame, the harder it is. But we'll start evaluating potential synergies. Once we close the deal, we really can't comment on it. And when we get up to -- once we close on a deal, we'll come forward with kind of our proposed plans to align the business consistent with Kennametal. But when we factor in those another high level and then forget about the top line issue, we said it should be neutral in fiscal '14.
Operator: Your next question comes from the line of Andy Casey with Wells Fargo Securities.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: First question on the revenue guidance. With the start of the year, I think it was 3% organic drop in the first quarter. Does the full year revenue guidance for organic imply, if I'm doing the math correct, 6% to 14% for the combined rest of the year? And is that really being driven by an expectation that the current trends continue to progress along normal cyclical manners?
Frank P. Simpkins: I would say, it's always tough when you come out of a recession. Obviously, we have a growth built into our numbers. I don't -- I'm not sure I had caught the numbers you said, Andy. But we expect obviously growth in the second quarter. And it to be strong in the second half consistent with the quality of work days that we get. We always have the pickup in the quality of days, less holidays going forward. So this is pretty much trending as we had anticipated. As you'd come out, as I said earlier, when we look at our performance as we typically come out of a lull of a year-over-year negative growth, and I'm not saying the great recession is back. But if you go back in time, the pattern looks like it's our top line goal of 4% to 6% organic is in line with what we would expect coming out of a recession.
Carlos M. Cardoso: So it's consistent with seasonality of the business, it's consistent with the last 2 months of the quarter and the current month, October, is very consistent with our outlook. And it's consistent with our previous models.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: Okay. And then if I could -- I'm going to get granular. Again, I apologize. But the $0.02 decrease, the earnings guidance midpoint for the year includes the deduction of $0.05, offset by $0.03 coming from higher contribution elsewhere. Again, I know it's granular. But is the $0.03 coming from operations or is it coming from somewhere else?
Frank P. Simpkins: Well, I think the $0.03, when we started off, we're getting a little bit of a lift in the currency. Now, as you know, you don't lever well when you translate your profitability, but we're getting a little bit of a lift from FX.
Quynh McGuire: Okay, Andy, this is Quynh, and we can go over that off-line, if you'd like.
Operator: And your next question comes from the line of Rudy Hokanson with Barrington Research.
Rudolf A. Hokanson - Barrington Research Associates, Inc., Research Division: I have a couple of questions, just clarifications, and I'll just give them to you sort of in line. There's 3 of them. One, I was wondering if you could talk a little bit more about the timing on the aerospace, and if you can be a little bit more specific about what programs or what size that appears to be? The second has to do with the distribution positive results that you've been getting. And you talked about it being around the globe. And I was wondering if this is something that truly is global and uniform, or if it's just maybe positive around the globe but there's a stronger pocket rather than others such as Europe and so the real focus would be more Europe. And the third question gets into the energy area and you said you're having an increased activity in terms of bidding right now. I was wondering if you're getting any sense as to the plans of your customers in terms of their CapEx for calendar 2014 versus what they spent in 2013, especially as it relates to your market. Those are my 3 questions.
Carlos M. Cardoso: Okay. Let me address that and Frank will pipe in. The aerospace, we don't break down into the program. As we've said, we are starting to see activity in general, including the 787 production. Again, they've had some issues, but they have continually increased the production. And relative to the distribution, the distribution, we are seeing growth everywhere. I mean the biggest areas are Europe and the U.S. And it's consistent with the recovery, and I think we're starting to see that in China as well in this quarter. And typically, that's a leading indicator for us. And somebody mentioned 10%, it was 10% for the month of September. So it's a very good view. And maybe Frank can talk about the energy a little bit.
Frank P. Simpkins: Yes, the energy, obviously, we don’t share what our customers tell us. But obviously, we're down, whether it's drilling, production completion and our teams typically work closely with the big energy companies you would expect on a global basis. The other interesting dynamic here will be, as we close on the deal of ATI, 2 of the key end markets that we really like there was the aerospace that they play in, particularly some of the products, they have indexable milling and milling products. And their energy side, some of the products and manufacturing that they have as it relates to the energy. So I think Carlos hit the main points there as well. But I think ATI is going to give us additional opportunities and insights once we acquire the company in the next 30 days.
Operator: Your next question comes from the line of Joel Tiss with Bank of Montréal.
Joel Gifford Tiss - BMO Capital Markets U.S.: Can you talk a little bit about pricing and inventories? Just what we're seeing for us for the rest of the year, and where are we in inventories?
Carlos M. Cardoso: Joel, are you asking about Kennametal's inventories?
Joel Gifford Tiss - BMO Capital Markets U.S.: Yes, and also in distribution, too.
Carlos M. Cardoso: Well, I mean the Kennametal, we talked a little bit earlier about the Kennametal inventory. I mean, we had an uptick with the acquisition of Emura, and we also are building some inventory to support the growth in the second half of our year. And relative to the distribution, I mean, I don't -- we don't see any increase of inventories in the distribution in particular. So we assume that as we said, the restocking had stopped. And they are just meeting the demand. We haven't really seen a restocking. So that's from an inventory perspective.
Frank P. Simpkins: And the price, I think, as I said earlier, I think, the Industrial has no real change there. And we'll evaluate, this is what we do in January. And then I would expect more of the same on the Infrastructure side. The interesting is APT prices have since kind of come down at the beginning of the year when we provided guidance. It started to run higher, it's since settled back into kind of our norm or what we had expected. So we think we're pretty balanced for the rest of the year from a pricing perspective.
Carlos M. Cardoso: Yes, by the end of the year, our pricing will be flat to slightly positive overall.
Joel Gifford Tiss - BMO Capital Markets U.S.: And then just on a big picture view. What is the sort of vertical integration -- what does it do to the return on capital and return on assets of the overall company? Even just sort of like looking 2 years out?
Carlos M. Cardoso: Yes, let me address the vertical. The business is not 100% vertical. It brings $360 million of sales, okay, only a portion of it is vertical. So I just want to make sure that we understand that as well. From the capital perspective, Frank, maybe you can.
Frank P. Simpkins: Yes, Joel, I think the vertical, it comes in on the math [ph] side, and you've got to put the Emura piece in there as well, where we don't own a mine, but we own the ore coming out of the mine and we process it down there. So as opposed to us going out and having to source that material and be dependent upon the swings on APT, we've somewhat mitigated that and the ability to take both ore as well as hard and soft scrap with the ATI recycling capabilities. It gives us obviously good returns from an overall profitability. It significantly reduces our cost to get the raw materials that we use in our products.
Carlos M. Cardoso: So it helps us with the top line, new customers, new markets. It balances our risks from a point of view of the sourcing and reduces our costs of raw materials because they bring, with the processing, they have to bring a lower cost to us.
Operator: Your next question comes from Holden Lewis with BB&T.
Holden Lewis - BB&T Capital Markets, Research Division: In the last few weeks, I'm just sort of asking again about the distribution commentary. We've heard from companies like Grainger and Fastenal and Motion Industries and WESCO and Anixter, we've seen results from all these guys. And no one would have mistaken any of their results for being positive. And obviously, it's a short-cycle business. Those are some big players, none of whom are sort of talking about the sort of improvement in the distribution channel that you seem to be alluding to. And so I'm just trying to get a sense of where is the disconnect between what the distributors are saying and what you're saying?
Frank P. Simpkins: Yes, Holden, I'm going to jump in. You got to remember, last year -- I don’t want to call it a relatively easy comp, but I'll call it an easy comp. As you know, last year, when we're going through the destocking, we started to see a pretty strong in the month of September going forward. So that's one of the main drivers as far as the performance as we highlighted in the month of September. And then just kind of repositioning and working it and continuing to execute our strategies.
Carlos M. Cardoso: This is a natural supply chain phenomena. So when the distributors start destocking, their sales are not going down as much as our sales to them. The opposite happens in the upside. In other words, their sales out are lower than our sales to them. It's just a normal supply chain. I mean, you can, through any recession and heavy recovery, the lines cross at the bottom and cross at the top.
Holden Lewis - BB&T Capital Markets, Research Division: Sure, but I guess, what I'm wondering is, should we be looking at the improving distribution numbers as a function of an improving market, or is it a reflection of one or both of easier comps. Or the fact that as you said, they were probably purchasing below demand because of their inventories and just by the act of stepping up once their inventories just sort of got them where they want to, they would step up just by virtue of sort of normalizing that demand. I'm just trying to -- it sounds like you're being very positive about it. I'm trying to figure out if we're just talking about sort of a comp and normalization of spending or whether we're talking about actual demand in the distribution market getting better?
Carlos M. Cardoso: Both. Both. I mean, one is a function of the supply chain, which is, as I explained. The other one is a function of the market.
Operator: And your final question comes from the line of Steve Barger with KeyBanc.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Just a related question. A quick follow-up. To that distribution point. Is the activity that you're seeing making you think the end users changing their attitude towards holding inventory or increasing safety stock, or is this still just tracking the end market with the same inventory buffer? And do you think that provides an opportunity going forward to outgrow the market?
Carlos M. Cardoso: Yes, I don’t -- we don't see anywhere where either the OEM or the distribution is building inventory at this point. Okay, so what we see -- we see that the OEM, as production goes up, they are buying to those levels. So to the extent that the growth is going to be -- the IPI is going to be where we think it's going to be, it's going to take until the second half of the year for us to see restocking.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: And just to that point, following what happened in 2009 and what's happened over the prior year, do you think there's been any kind of permanent change in customer attitude towards holding things? Will they always have the distributor hold more inventory? Or do you think that the end user will start to rebuild that safety stock at some point?
Carlos M. Cardoso: I mean, I will believe, through the last 20 years of recessions, I believe that the whole supply chain always gets better with every recession. So which means that people don't hold as much inventory. Everybody gets more efficient. So there is a level of efficiency that is going to come out of this one to the extent that how much of that is real. I mean, we'll tell you in another year when we look back and say, "Okay, this is what it looks like." But there's no doubt that the OEMs and the distributors coming out of this are going to be more efficient. They're going to hold less inventory but they have to have some inventory.
Operator: Thank you. And we have no further questions at this time. And I would like to turn the call back over to our presenters.
Quynh McGuire: Thank you. This concludes our discussion. Please contact me, Quyhn McGuire, at (724) 539-6559 for any follow-up. Thank you for joining us.
Operator: Thank you. Today's call will be available for replay beginning at 1 p.m. Eastern Time today and lasting through midnight Eastern Time on November 24, 2013. The conference ID number for the replay is 77099289. The number to dial for the replay is 1 (855) 859-2056 or (404) 537-3406. This concludes today's discussion. Thank you for your participation, and you may now disconnect.